Operator: Good morning, and welcome to The Principal Financial Group First Quarter 2013 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference call over to John Egan, Vice President of Investor Relations.
John Egan: Thank you, and good morning. Welcome to the Principal Financial Group's First Quarter Earnings Conference Call. As always our earnings release, financial supplement, slides related to today's call and additional investment portfolio detail are available on our website at www.principal.com/investor. Following a reading of the Safe Harbor provision, CEO, Larry Zimpleman; and CFO, Terry Lillis, will deliver some prepared remarks. Then we will open up the call for questions. Others available for the Q&A are Dan Houston, Retirement and Investor Services and U.S. Insurance Solutions; Jim McCaughan, Principal Global Investors; Luis Valdez, Principal International; and Tim Dunbar, Chief Investment Officer. Some of the comments made during this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. The company does not revise or update them to reflect new information, subsequent events or changes in strategy. Risks and uncertainties that could cause actual results to differ materially from those expressed or implied are discussed in the company's most recent annual report on Form 10-K, filed by the company with the Securities and Exchange Commission. Before I turn the call over to Larry, I'd like to announce that our 2013 Investor Day will be on September 13 at the New York Stock Exchange, where we'll discuss progress on our long-term strategy and provide an update on our recent acquisitions. We'll provide more details as we get closer to the date. Now to Larry.
Larry Donald Zimpleman: Thanks, John, and welcome to everyone on the call. As usual, I'll comment on 3 areas. First, I'll discuss first quarter results; second, I'll provide an update on the continued successful execution of our strategy; and I'll close with some comments on capital management. As John mentioned, we provided slides related to today's call. Slide 4 outlines the themes for today's call. 2013 is off a very good start as we continue the positive momentum that we had throughout 2012. Reported total company operating earnings increased 8% over first quarter 2012, with quarterly earnings per share up 11% over the prior year quarter, reflecting strong execution by our teams. Despite continued macroeconomic pressures such as low interest rates, a slow job market recovery and depreciation of emerging market currencies, the fundamentals of our business remain strong. Our Investment Management Plus strategy is more relevant than ever, as people realize the need to take more control of their financial security in this era of personal responsibility. Assets under management reached a record $456 billion at quarter end, helped by $7 billion of total company net cash flows and the addition of Cuprum. This strong growth continues the momentum from 2012, where we had $30 billion of total company net cash flows for the full year 2012. Assets under management are the best leading indicator of revenue and operating earnings over time. We continue to win and retain business because of our strong investment performance, our ability to provide outcome-oriented solutions, excellent customer service and the diversity and strength of our distribution partnerships. We achieved 2 significant milestones this quarter regarding assets under management. Both Principal International and unaffiliated assets under management in Principal Global Investors surpassed the $100 billion mark for the first time ever. Additionally, Principal Funds was just shy of the $100 billion of total assets under management at the end of the first quarter. This is truly remarkable, as all of these businesses were aspirational a little more than 10 years ago. Some of the growth metrics from the quarter include: Sales of $3 billion for Full Service Accumulation from a 49% increase in new sale plan count compared to first quarter 2012, boosted by a greater emphasis on the small- to medium-sized market; record sales of $5 billion in Principal Funds, an increase of 42% over the year ago quarter. This contributed to quarterly net cash flows of $2 billion, which are the second largest quarterly net cash flows on record and which continue to significantly outpace the industry. Principal Funds also had a 20% increase in the number of advisors selling new business compared to the prior year quarter, reflecting the competitiveness of this business and contributing to continued growth in market share; Unaffiliated net cash flows of $1.8 billion for Principal Global Investors, with success in fixed income, equity and real estate; Strong net cash flows of $2.5 billion in Principal International; $70 million in Individual Life sales in the quarter, an increase of 49% over first quarter 2012, reflecting strong sales in all segments and continued success in the business market; And Specialty Benefits sales of $99 million dollars, up 20% over first quarter 2012 as a result of strong growth in the pipeline. We remain confident about our competitive position and our ability to continue to grow our businesses into the future. Having just returned from sales conferences in the United States, Latin America and Asia, I can tell you firsthand, our sales teams are as motivated and confident as they've ever been about the competitiveness of our business. Next, I'll comment on our success in further implementing our strategy in the first quarter. Our acquisition of Cuprum, a leading pension provider in Chile, closed ahead of schedule on February 4, and despite a 1-month accounting lag, had a meaningful impact to our reported results. As we said when we announced this acquisition, Cuprum is widely acknowledged to be the premier company in the industry. This was reinforced when the pension regulator in Chile recently published investment performance and customer service ratings among the 6 AFPs in Chile. And Cuprum ranked at the top of both. This further validates the strategic decision, and along with our existing leadership status in Mexico and Brazil, positions us as a top pension provider in Latin America. We continue to look for strategic acquisitions that add to our investment management capabilities. In March, we announced our intent to acquire a majority stake in Liongate Capital Management, a global alternative investment boutique focused on managing portfolios of hedge funds. Liongate's client base includes many of the world's leading pension funds, insurance companies and sovereign wealth funds and is recognized for its dynamic approach to asset allocation. The transaction will strengthen Principal Global Investors' alternative investment capabilities, deepen our pool of investment talent and help extend our product offerings into customized multi-asset and hedge fund solutions. Additionally, we announced in April that Principal Global Investors has agreed to sell a minority stake in Post Advisory Group to Nippon Life Insurance Company. The strategic transaction will bring significant new distribution opportunities for Post. Japanese investors will now be positioned to take even greater advantage of Post's high-yield offerings through Nippon Life's extensive networks and relationships. Both of these transactions are scheduled to close in the second quarter and will continue to position the Principal as the leading global investment manager among both institutional and retail investors around the world. Turning now to Principal Funds, where, thanks to continued strong performance by Principal Global Investors, we once again had outstanding results in the first quarter. We were extremely pleased to win 4 Lipper Awards in March based on performance, including the top award for Best Mixed Class Large Fund. The funds in this category include: Principal Funds' target-date LifeTime Funds; target-risk portfolios; and our Principal Global Diversified Income Fund, all of which represent more than $30 billion of assets under management. In addition, Lipper recognized 3 individual funds for consistent long-term performance. Strong investment performance continues to be a differentiator for the Principal and is a leading indicator of strong net cash flows. As shown on Slide 5, and now referenced in our supplement on Page 1, 82% of our investment platform ranks in the top 2 Morningstar quartiles on a 1-year basis, 87% on a 3-year basis and 71% on a 5-year basis. As we go forward in 2013, we will see our 5-year percentile rankings improve, which will continue to position us well competitively. I'll comment quickly on Retirement and Investor Services. The Principal has been a retirement leader in the U.S. for decades and PLANSPONSOR magazine recently validated this leading position by naming us one of their top 20 retirement leaders. In particular, PLANSPONSOR highlighted our dedication to the small-plan market. Because of our strong investment performance and through our strategic alliance partnerships and strengthening of our third-party administrator channel, we're increasing Full Service Accumulation sales in the smaller end of the market. Overall, Defined Contribution plan count increased by almost 1,900 plans compared to first quarter 2012, reflecting the strength of our distribution channel and our ability to retain retirement clients. Strong retention also contributed to a 290,000 increase of eligible participants. Finally, a quick update on Principal Bank. Our decision to pursue deregistration as a savings and loan holding company continues as planned, and we still expect to complete the process before year end. Our Investment Management Plus strategy does 3 things. First, it enables us to offer a wide variety of products that help our customers build long-term savings, invest for growth and ensure and manage their lifetime incomes. Second, it helps us better manage our business by creating diversified streams of revenue and earnings that protect us, to a certain extent, from severe market adjustments. Third, because our products are primarily fee-based, it generates increasing amounts of deployable capital over time. While many of our competitors focus on either insurance or asset management in retirement, we believe our combined approach better positions us for long-term growth, while maintaining appropriate diversification. I'll close with some comments on capital management. In the first quarter, we paid a $0.23 dividend, which was a 10% increase over the dividend paid in fourth quarter 2012. Additionally, last night, we announced a $0.23 dividend payable in the second quarter. We will continue to focus on increasing our dividend payout ratio over time, demonstrating our confidence in earnings growth and stability. Also in the first quarter, the board authorized a $150 million share repurchase program. Part of that program was used to offset share dilution in the first quarter. We'll be opportunistic with the balance in the second half of the year. We have an active M&A pipeline and will consider all options to deploy capital as we continue to drive long-term value for our shareholders. In closing, we are optimistic that the ongoing momentum of our business will continue to drive higher revenue and earnings over time, and we're confident in the long-term strength of our strategy going forward. Terry?
Terrance J. Lillis: Thanks, Larry. As previously mentioned, the first quarter was a very good start to the year, with our growth metrics showing continued momentum. This morning, I'll focus my comments on operating earnings for the quarter, net income, including performance in the investment portfolio, and the strength of our capital position and balance sheet. First quarter total company operating earnings of $233 million were up 8% over first quarter 2012. We also ended the quarter with record assets under management of $456 billion, which includes $34 billion from our acquisition of Cuprum. On a reported basis, first quarter 2013 earnings per share were $0.79, up 11% over the year ago quarter. This reflects very strong results from our fee-based businesses, lower share count and increase in assets under management due to strong net cash flows and positive equity market performance in the quarter. This is a very good result despite continued macroeconomic pressures such as low interest rates, a strengthening U.S. dollar and inflation in Latin America. As part of our first quarter acquisition of Cuprum, we again reviewed, in conjunction with our external auditor, Ernst & Young, the accounting treatment for similar products in other foreign jurisdictions, including our Mexican AFORE business. Slide 6 shows this review resulted in a revision in the way we recognize earnings over time for the AFORE business, consistent with the technical accounting requirements for Cuprum. However, this does not impact the underlying economics of the business, nor the long-term growth rate for Principal International. On a go-forward basis, we expect the combined pretax return on net revenue for Principal International to be in the 55% to 60% range. We revised prior year AFORE results in our supplement for your convenience. Looking at Slide 7, you'll see the disclosed items that impacted first quarter 2013 operating earnings per share. First quarter 2013 was benefited by approximately $0.03 from a dividend accrual benefit in Full Service Accumulation and $0.01 from a legal settlement in Principal Funds. The quarter was negatively impacted by $0.02 due to high mortality claims in Individual Life, and $0.01 for taxes on repatriated earnings from Hong Kong in Principal International. Combined, these items slightly benefited first quarter 2013 operating earnings. Now I'll discuss business unit results. Starting with the accumulation lines of businesses within Retirement and Investor Services, reported operating earnings increased 18% to $142 million. As shown on Slide 8, after adjusting both quarters, operating earnings grew 7% in first quarter 2013 compared to the year ago quarter. Net revenue was up 13% over first quarter 2012. Positive net cash flows and the S&P daily average up 7% in the first quarter drove strong growth in account values, which contributed to revenue growth. Trailing 12-month pretax return on net revenue is stabilizing at 30% and is flat after adjusting for the third quarter 2012 actuarial assumption review. Based upon the equity market return to date and assuming 2% per quarter growth, we anticipate 2013 full year net revenue growth to be more in line with our 5-year range of 6% to 8%, and pretax return on net revenue to be at the top end of the 27% to 29% range communicated for Retirement and Investor Services accumulations for the year. First quarter operating earnings for Full Service Accumulation at $86 million were up 24% from the year ago quarter. This reflects 11% net revenue and pretax operating earnings growth and a stabilization in return on net revenue. After-tax reported earnings reflects an $8 million dividend accrual benefit. Net cash flow for Full Service Accumulation was $650 million for the quarter. The sales pipeline, fueled by strong alliance partnerships, continues to build. With the emphasis on small- to midsized retirement plans, and given strong investment performance, we expect to receive a larger portion of assets in our proprietary investment options, leading to increased revenues. Full Service Accumulation asset sales, at $2.9 billion for the quarter, were down 8% from the year ago quarter. However, due to the smaller average plan size, these sales generated very strong growth in annualized net revenue. We still expect full year 2013 asset sales to be in line with last year and annualized new business revenue to show double digit increase over 2012 levels. This is evidence of our focus on higher revenue business. First quarter 2013 recurring deposits increased 12% over first quarter 2012, reflecting growth in eligible participant count over the past 12 months. We experienced a couple of large account value withdrawals in the quarter, due to merger and acquisition activity in our client base and maintaining pricing discipline. We anticipate a return to more normal withdrawal levels this year, following record retention in 2012. Principal Funds operating earnings were $19 million for the quarter, a 62% increase from the year ago quarter. Normalizing for a $2.5 million legal settlement, earnings were up 41%, boosted by the market performance and strong net cash flows. On a trailing 12-month basis, net revenue was up 15% and pretax return on net revenue improved due to the scale-based nature of the business. For the quarter, sales and net cash flows were outstanding with a record $5.2 billion of deposits, driving $2.4 billion of net cash flow. In addition to the strength of our income-orientated funds, we're building traction with diversified real asset, which solves for inflation, and SAM, our target-risk portfolios. Individual Annuities operating earnings were $29 million for the quarter. This is a decrease of $4 million from the year ago quarter, a result of the continuing margin compression due to the low interest rate environment. Focusing now on Slide 9, where we cover our guaranteed businesses within Retirement and Investor Services. First quarter operating earnings of $28 million were up 21% over the year ago quarter, while net revenue was up 18% due to improved spreads. On a trailing 12-month basis, pretax return on net revenue improved to 79%. We continue to approach this business opportunistically, and we'll issue investment-only and full service payout business when market conditions generate attractive returns. In Principal Global Investors, operating earnings were $20 million, up 25% from the year ago quarter. Slide 10 shows first quarter revenues grew 11%, driven largely by higher average assets under management. Unaffiliated net cash flow for the quarter of $1.8 billion came in across all our asset classes, helping drive unaffiliated assets under management to a record $103 billion. On a trailing 12-month basis, pretax margin improved 230 basis points from the same period a year ago, as Principal Global Investors continues to build scale. The sale of a minority stake at Post Advisory Group to Nippon Life is expected to have less than $0.01 per share impact on 2013 results for this segment. Moving forward, the added distribution in a country focused on yield should lead to higher assets under management and earnings. Slide 11 shows Principal International's operating earnings of $45 million, reflecting strong asset growth. With $2.5 billion of net cash flow in the first quarter and the acquisition of Cuprum, Principal International reported a record $107 billion of assets under management. Adjusting for unfavorable macroeconomic impacts of foreign exchange and lower inflation in Latin America, and the earlier noted tax on repatriated earnings from Hong Kong, operating earnings were up 17% over the prior year quarter. Combined, net revenue is up 14% from first quarter 2012. As Larry mentioned, we successfully completed the acquisition of Cuprum in February, a month earlier than previously expected. Since they're reporting on a 1-month lag, only Cuprum's February results were in the first quarter 2013 earnings. We now expect full year earnings for Cuprum to be approximately $80 million, which will be partially offset by $25 million to $30 million of additional debt interest expense in the corporate segment. This improvement in Cuprum's earnings will partially offset the accounting change in Mexico. We still believe our 2013 outlook for Principal International is appropriate. Individual Life reported operating earnings of $15 million for the quarter. Adverse fluctuations in mortality negatively impacted operating earnings in first quarter 2013 by approximately $6 million. The quarter-over-quarter comparison is also impacted by the continued low interest rate environment and the prior year benefit from the change in amortization basis and favorable mortality. After adjusting both quarters, Individual Life's earnings are down 26% compared to first quarter 2012. Slide 12 shows first quarter 2013 premium and fees grew at 9% over adjusted first quarter 2012. On a trailing 12-month basis, adjusted pretax operating margin is 15%, within the range of 15% to 17% communicated for 2013. We expect to be at the lower end of the range as long as the low interest rate environment persists. Specialty Benefits operating earnings of $21 million were up 12% over the same quarter a year ago. The loss ratio continues to perform well at 67% for the quarter, slightly better than our expectations for our first quarter. Operating earnings for Specialty Benefits are seasonal, where first quarter is typically the lowest quarter of the year. Slide 13 highlights Specialty Benefits premium and fee growth of 4% over a year ago quarter. On a trailing 12-month basis, premium fee growth of 5% is slightly below our 6% to 8% target. Pretax operating margin of 10% is in line with our expectations. The corporate segment reported an operating loss in the first quarter of $37 million. The segment was impacted by closing costs for the Cuprum acquisition, which were offset by investment income on cash held in Chile that was used for the acquisition, and by lower-than-expected expense accruals. For the rest of 2013, we expect the normal quarterly run rate of corporate earnings to be a loss of $35 million to $40 million, which includes the additional debt interest expense from the Cuprum acquisition. For the quarter, total company net income was $178 million, reflecting capital losses of $56 million for the quarter. This was driven, in part, by $19 million of credit-related net losses, which were down 28% from the year ago quarter and are at their lowest point since third quarter 2007. Looking now at capital adequacy, we estimate our first quarter risk-based capital ratio will be unchanged from year end 2012, at approximately 416%. Relative to a 350% RBC ratio, we have approximately $1.1 billion of remaining deployable capital after the Cuprum acquisition. Book value per share, excluding other comprehensive income, of $29.19, increased 6% over prior year quarter. As a reminder, current ROE levels are dampened by about 100 basis points from third quarter 2012 actuarial assumption review. We expect ROE at the end of the year to grow an additional 50 to 80 basis points from the normalized result. As outlined on Slide 14, so far in 2013, we've announced plans to deploy $329 million of our planned $400 million to $600 million of capital for the year. In first quarter, we bought back 2.4 million shares for $75 million to offset share count dilution. We financed that with the remaining authorization from 2012, along with a portion of the $150 million first quarter authorization. With our focus on onboarding Cuprum in the first half of the year, we'll look to the second half of the year to evaluate all our opportunities to deploy capital. We have the capacity for share repurchase, as well for an active M&A pipeline. As always, we'll manage capital in the best interest of our shareholders. Additionally, we'll continue to focus on our dividend payout ratio, and last night announced our second quarter 2013 dividend of $0.23. In closing, we're very pleased with the continued growth and momentum of our businesses as we start 2013. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: [Operator Instructions] And the first question comes from Seth Weiss with Bank of America.
Seth Weiss - BofA Merrill Lynch, Research Division: I had a quick question on margins within the accumulations, which came in above the high end of your 2013 guidance range. Is there anything to glean from the competitive environment from these results?
Larry Donald Zimpleman: Seth, this is Larry, I'll ask Dan to comment as well. I think it really reflects more the particular size of the market, in our case, again, going more for the $1 million to $5 million sort of plan size rather than necessarily reflecting a change in the competitive environment. Although, I would say I think that, as far as the competitive environment, generally thinks it's sort of stabilized, I don't think they're getting worse. They're not necessarily getting better, but largely, the improvement's due to selling smaller plans. Dan?
Daniel J. Houston: Thanks, Seth, for the question. I think your question's a little more broad perhaps on all the cume, and if you pull in the funds, which we're finally seeing, from the mutual funds, is a very strong contribution to operating earnings and helping improve the margins there. We looked at that business being very sustainable. And just a reminder, that is equally as involved in the qualified retirement plan business, if you think about those dollars in our DCIO. It's the investment-only on other competitive platforms. And then, of course, a lot of rollover IRA business. So again, we feel very good about our sustainability in this accumulation segment of the market.
Seth Weiss - BofA Merrill Lynch, Research Division: Okay, great. And then, Larry, just to follow-up on your first point in terms of the focus on the small- to midsized cases. I would expect the sales focus on that, at least the margin improvement, to be small when you consider the large in-force. So when we think about the margins on a go-forward basis and the shifting focus back to small to midsize, how should we think about that impact quarterly?
Larry Donald Zimpleman: Well, I think, again, we're balancing a number of factors here. It really, again, is a question, overall, about the revenue you're receiving on your new business. It's about the revenue you're receiving on your existing block of business. It's about how you have to adjust the revenue on your existing block of business as those plans get bigger. And as those plans get bigger, understandably, the advisor and the plan sponsor would expect those fees to be adjusted over time. So you're balancing a number of competing considerations. What I would say is we're probably in a better position today in terms of having balance between all of those. We're in a better position today than we've been in the last couple of years. So I think that's why you're seeing those sort of overall results stabilize. And again, pending some shock to the market or some other unforeseen event, I think, we'd expect those trends to continue.
Operator: Your next question comes from Sean Dargan with Macquarie.
Sean Dargan - Macquarie Research: In Terry's prepared remarks, it sounds like the contribution from Cuprum was higher than you had laid out in November of last year, and it sounds like the full year impacts will be higher. Yet it seems that Principal International earnings as a whole are kind of still what you laid out in your guidance call last year. So I'm wondering how to think about that. I mean, is -- should we think that other businesses within PI are not going to do as well?
Larry Donald Zimpleman: Sean, this is Larry, and I'll ask Terry to comment in a minute. But first, let me kind of restate what I think is really the most important element for Principal International business over the long term, which is that, we have had an expectation that, again, assuming sort of constant economic assumptions around inflation and foreign exchange and so forth, we would expect Principal International businesses to grow at that approximately 15% sort of annual earnings growth. And while this quarter, because as we onboarded Cuprum and we have looked at all of the accounting guidance around all of our international businesses, there's some movement around between Cuprum and AFORE Mexico. It doesn't change in any way shape and form the basic story that Principal International should be able to continue to grow earnings at that kind of 15% clip. I think in 2013, Cuprum is going to be a positive contributor to that, but the existing businesses also continue to grow nicely. So the story is really well in hand, and it's about these short-term bouncing arounds. But for the long-term of 2013, we still expect that sort of 15% growth. Terry, you want to comment?
Terrance J. Lillis: Yes, Sean, this is Terry. Larry's comments were spot on. As we looked at the acquisition of Cuprum in the first quarter, we took that opportunity to work with E&Y, our auditor, to look at all similar type of products, as they become a bigger portion of our operation in all the different jurisdictions. And as a result of that, we changed the way that we are going to amortize some of the acquisition costs. We're going to capitalize fewer costs, we're going to also change the amortization to be more of a straight line amortization. Now as you're aware, this does not have any impact on the underlying economics of the business. It's just the recognition of when those earnings will come into play. And so we don't feel that it will have a significant impact on the long-term growth rate of the business. In fact, as we look forward in this business, we see that there is very favorable trends for us.
Operator: Your next question comes from the line of Eric Berg with RBC.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: Two questions. Larry, despite what would seem to be broadly-based success at this point, I mean, to me it seems like a -- it's a very, very strong quarter across the board. Your ROE has been stable, which is a polite way of saying it's really not been moving up. Why is that, and what is it going to take? I know you mentioned you expect some improvement from here, but despite what you say, every quarter has been success, and I'm saying this quarter it looked great to me, why hasn't the ROE been moving up?
Larry Donald Zimpleman: Sure. A good question. And I think Terry actually covered that, at least, briefly, but I think reasonably well, right at the end of his commentary. Where we're sitting at today, as you observed, is right at that sort of 9.8%, 9.9% level that is consistent with where it was a year ago. And in answer to your question about why it has not improved, there's really 2 things that have impacted that in a pretty significant way. One of those was the actuarial assumption review that we did in third quarter 2012 was one factor. And the other factor is the purchase of Cuprum, where, again, just the way the accounting works when you buy an asset at greater than book value, it's going to have a depressing impact on ROE. If you sort of adjust for those, because those, again, are kind of temporary issues, that's about 100 basis points. So if you ask me today, Eric, what I would tell you is, I believe that we've moved our ROE over the last 12 months, roughly from 9.9% into that high 10% level. And I think, honestly, if you just look at that ROE level, near 11% today, say, between 10 3/4% and 11%, in a environment with a 1.7% 10-year treasury, that's actually a pretty respectable ROE. And I think it does lend credence to the fact that our fee-based model will allow us to generate higher ROEs over time. So we're roughly at 11% today. Going forward, we still expect to be able to achieve that sort of 50 to 80 basis point sort of improvement in ROE. So I think expectations would be, again, all other things being equal, no particular macroeconomic events, no particular issues relative to acquisitions, we'd be in that 11.5% sort of range by the end of the year. Does that give you a good picture?
Eric N. Berg - RBC Capital Markets, LLC, Research Division: Yes, yes, that's helpful. And I'll follow-up with John. My second and final question relates to the international business. It's a little -- it was, to me, frankly, a little bit concerning, it was -- not concerning, that's not the right word. It was curious that, in the face of a dramatic increase in assets year-over-year, you reported out flat earnings. Now I know a lot of the asset growth had to do with the addition in the final hours of the quarter, so to speak of Cuprum, and I know, too, that your earnings this quarter were depressed by the inflation considerations in Chile, as well as by the, I guess, the depreciation of the Brazilian real. But I mean, even if you take out the effect of the addition of the Cuprum assets, you still had very strong growth in your asset base. So my question is, is there anything else that we need to understand that is sort of retarding or breaking the growth of earnings internationally to prevent those earnings growth from moving up in lockstep with the asset growth?
Larry Donald Zimpleman: Yes, there's a lot packed into there, but that's a -- there's some good questions in there. So again, if you go to Slide 11, I'm not going to try to repeat everything that's on Slide 11. I'm going to ask Luis to comment when I finish here. But if you go to Slide 11 on the website, you'll see a pretty good reconciliation of the kind of issues of the quarter. So what you'll see in there is, because of the repatriated -- the tax on repatriated capital from Hong Kong, if you adjust for that, reported earnings would be up 6%. If you adjust for FX, foreign exchange and if you assume more normal inflation, you'd be up 17%. That does include Cuprum just to be clear, so the 17% does include Cuprum. I would say that the -- over the longer term, the revenue growth is going to be closer to the AUM growth, but there's always going to be some lag. There's always going to be some differential between that. That differential is not going to be as high as what we see here in the U.S., where if you look at Full Service Accum, you might grow revenue 8% or 9%, but you may only -- or yes, you may grow AUM 8% or 9% which may only grow revenue 3% or 4% or 5%, so that's a fairly big differential. There is a differential in international. It's a little bit smaller because of the slightly less competitive nature of that. But again, I'd reiterate this is a sort of double-digit growth business, a number of macroeconomic factors in this particular quarter, plus the accounting elements that Terry mentioned. So a noisy quarter, but I want to reiterate the fundamentals are very, very much in place. And maybe ask Luis to talk a little bit about AUM growth versus revenue growth.
Luis Valdez: Yes, I'm going to reiterate what you said that it's a kind of noisy quarter, so it is not allowing to us to show entire potential of Principal International. As you said we continue growing at a double digit in the 17%, 18% growth. Just a single comment. Still our trailing 12-month margin is still 55.6%, so it's within the range that we presented our outlook for 2013. So we don't have any other particular comments to make other than this is a very strong quarter for us.
Operator: And your next question comes from the line of Mark Finkelstein with Evercore Partners.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Actually, I want to go back to start with, maybe, Seth's question. I guess, just thinking about the margins in FSA a little bit, you talked about the competitive environment showing signs of stabilization. You've talked about kind of the remixing of the business to a little bit higher margin mix. It sounds like small, medium, et cetera. So I know you don't like talking about individual quarters, and you kind of like to focus on trailing 12 months. But if I just look at the FSA margins, I mean, are we at that point of stabilization in that number, or kind of looking at the business that you're adding to the books versus the existing and what that gets repriced at, should we still be assuming some compression?
Larry Donald Zimpleman: Well, I think -- this is Larry, and again, I'll have Dan comment. I think there's still some -- as I've read different analyst reports, Mark, I would still say I think there's, unfortunately, still some that are sort of looking at this in terms of ROA, return on assets, as compared to return on revenue. This has really essentially become almost totally a fee-based business. So I really do think that return on revenue or return on net revenue is really a better way to think about this. And that's why in our kind of outlook discussion for 2013, you saw us provide guidance around revenue growth and sort of return on net revenue. So I think that's the way to think about the business. And when you sort of look at results over the last -- well, the current quarter as compared to, say, the trailing 12-months, I think you've started to see stabilization in that return on net revenue. Again, there's a little bit, as Dan commented earlier to Seth's question, it varies a little bit when you look at RIS accum because the return on revenue isn't quite the same for Full Service Accum, for mutual funds and for Individual Annuities. But they're relatively close, and so that -- it doesn't move around that much, so...
Daniel J. Houston: Yes, Mark, maybe just a couple of comments. It always has been and continues to be a competitive market. We've got to adapt, adjust and make sure that we're pivoting appropriately. But frankly, there are some nice tailwinds coming into the businesses right now. And you see that, and I'm sure as you're fully aware of the economic recovery here, but if I just look at new plan formation, at the peak low, it was down 40%. It's only off 5% now from the high. So there's a lot of us out there that are involved in new plan formation in addition to just the transfer business. If you look salary deferrals, if you look at participation percentages, that's what's contributing to this nice contribution from recurring deposits. And that's been an element of our growth story towards profitability for a lot of years, and frankly, that was absent here in the course of the last 3 or 4 years. We're seeing more and more of the employers, put their matches back in place. We certainly saw that for year-end 2013. And the other contributing factors is some of the investments going into higher margin products, equities in particular, away from some of the fixed income. So whether or not they're stable, I think the rate of decline has slowly -- has certainly slowed up, but I would say continue to be a competitive marketplace. We're going to continue to adjust and adapt, but it's nice to know that we're finally getting some of these economic tailwinds by helping grow this business.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay, all right. And then, I guess, just finally, quickly, it goes under the radar a little bit, but you've actually had a pretty strong ramp-up in Principal Funds earnings. And obviously, there's a contribution from very high sales in the quarter. I'm just curious about your view on the sustainability of these earnings and maybe even what would be the mix between kind of AUM base versus production base in terms of that earnings.
Larry Donald Zimpleman: Yes, that's -- first, I really appreciate the observation. Our team that runs that business has really done an extraordinary job. And I would just comment on a couple of things there that I think are important and do make it sustainable going forward, Mark. First of all is that we continue to have outstanding investment performance, and again, there's a slide on the website, and we -- and I commented in my remarks earlier, but you have roughly 75% to 80% of the funds in the top half of their appropriate universe. So investment performance is consistent, and it's very, very strong. Obviously, that's fundamental. Probably, the one that isn't as well understood that's really powerful is this solutions-oriented approach that we've taken. The traditional sort of benchmark aware mutual fund, that's a tough way to sort of go. And it really is about innovation, and it is about outcome-oriented solutions in the mutual fund business, so we refer to things like our Global Diversified Income Fund or our global real asset fund, or even to some extent our lifecycle portfolios like our Strategic Asset Management portfolios and LifeTime. So product innovation really matters. Obviously, investment performance matters. Our team has really done just an outstanding job. And the other thing that I commented on in my opening remarks, if you think about -- we expanded our advisor base by 20% over the last year. That is a very, very significant stat. So we become very much of a player in the U.S. mutual fund business, both retail funds, to some extent funds for high net worth, but also, as Dan said, this investment-only business, so it is sustainable. We do think we've got great traction. We got great performance. We expect these trends to continue.
Operator: Your next question comes from the line of Suneet Kamath with UBS.
Suneet L. Kamath - UBS Investment Bank, Research Division: So I had a question about the margins also. So if I look at not return on assets, and I'm talking about FSA here, not return on assets, but the 2 other ones, Larry, that you're focusing on pretax return on net revenue and pretax margin. It looks like for the quarter, you're pretty much in the range of what you've given us as a long-term sort of guidance. So I guess, my question is, if that's the case, is the earnings growth from this business essentially going to be coming from your growth in assets, your growth in flows, as well as what the market gives you? Is that really what we should look to on a go-forward basis?
Larry Donald Zimpleman: Yes, I would say -- this is Larry, Suneet. I would say that the lead there, of course, is revenue growth. And so then there's the question about what's the relationship between sort of revenue growth and AUM growth. And again, as we commented, that differential's probably a little bit wider today than maybe what it would be over the long-term, because as assets have -- over the last couple of years, as assets have moved from equity into fixed income, which, generally speaking, don't have the same revenue streams, that differential between AUM and revenue growth's probably a little wider today than what it might be on a go-forward basis. As Dan has said, then it's really our responsibility. It's our management team's responsibility to then manage the expenses of the business in line with those revenues, and ultimately be able to grow operating earnings at a differential to the revenue growth. So I don't know, Dan, anything further?
Daniel J. Houston: No, nothing further, Larry. That's right on track.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. Then my follow-up question is, I think, in your prepared comments, you talked about pricing discipline in this business. And I guess, on past calls, you've commented that competition has resulted in sort of pricing on renewal business to be down, I think you used 10% to 12%, relative to when you originally put it on the books. So if that was kind of the past practice, I'm just curious how those trends look today. It seems like you're walking away from some business. Can you talk about that and then what your -- to the extent you are repricing existing business or renewal business, how much of an increase are you getting in terms of pricing, if any?
Larry Donald Zimpleman: Yes, 2 quick comments, and then I'll let Dan handle the bulk of the question. I frankly don't recall that we've -- I think, you commented about reducing renewal pricing 10% to 12%. I don't recall that I've said that or that we've said that, so I don't know -- in fact, I don't even know what that stat would be. We price renewal business to be competitive. That's -- and I don't have a particular number around that. On your point about walking away from business, again, I want to be clear. Our close rates have continued to stay pretty much in that same range. The close rate was around 12% in Q1 on the pipeline. And you'll remember, and we've said many times that sort of our historical close rate's in that 10% to 12% level. So we're still very, very competitive and our close rates continue to hold up very well. Last thing I'll say before turning it over to Dan is our pipeline's up 6% as well. So all the fundamentals here continue to look very good. It's just that, again, we're working a little bit more and there's a little more activity in that small to medium end of the market, which is advantageous relative to this whole margin issue.
Daniel J. Houston: Yes, I guess, I'll own up to the 10% to 12%, because what we've -- what I tried to put that in the context in previous calls, is that if you looked at what kind of concessions you have to make on certain attractive new business, the concession could be somewhere in that 10% to 12%. That's still out there today. Remember that on most plans over $5 million, we're able to do a cost-benefit analysis on each one of those cases. We know what we're having to invest in the case in order to maintain it. As you heard in the prepared comments, we did walk away from a couple of pieces of business that just, frankly, weren't profitable to us. We are going to continue to have that sort of pricing discipline, and of course, as was mentioned earlier, we still have the benefit of some of these shifts towards more proprietary asset management. Jim's performance in many of these accounts has been quite favorable. So as we're out there talking to not only prospective clients, but also at the time of going out and visiting with existing clients, we're out there pitching our very strong proprietary asset management. All of those things, I think, is what will allow us to at least hold the line here on these margins and continue to perhaps improve from here.
Suneet L. Kamath - UBS Investment Bank, Research Division: And so just lastly, to tie it all together. I think in your investor materials presented last year, you showed the 401(k) industry was in outflows, and principle's consistently been in inflows. Given this pricing discipline comment, are you still expecting that will continue going forward, especially as you sort of migrate maybe more towards the smaller case plans, which, obviously, by definition have a smaller level of assets versus your growth over the past several years, which has been skewed maybe a little bit more to the larger case?
Daniel J. Houston: Yes, that net cash flow number historically is -- we've guided you toward that 4% to 6%. My guess is, this year, you could see that number closer to 1% to 3% range for net cash flow. Again, we focus on the profitability of these relationships, continue to focus on revenue growth. And our revenue growth is going to come from those small- to medium-sized businesses. Remember, we also picked up a lot of net cash flow from just improving the overall quality of these plans by improving recurring deposits, that's the matches, that's the deferrals and that's participation. So a lot of hard work has to go into it, but I would continue to see our FSA franchise having strong relative net cash flow to the rest of the industry.
Operator: Your next question comes from the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: A question for you on Principal International. If I look at that Slide 11, Larry, and I think about numbers, AUM growth on a year-over-year basis, if I take out Cuprum, was about 25%. And I know, I'm digging into 1 quarter and that may, all by itself, throw off the trends here. But then, if I look at that adjusted earnings growth of 17% and that does benefit from 1 month of Cuprum. So the earnings growth rate x Cuprum would have been far lower than the asset growth rate. And so I guess, my question is this, digging a little deeper into maybe Eric Berg's question, when you drill into the various businesses underlying Principal International, are there areas where, similar to the U.S., you're seeing some downward pressure on fee rates or downward pressure on margins that we need to consider?
Larry Donald Zimpleman: This is Larry, John. We've done a great job in growing this business, and it is becoming more significant. And I'm glad to see all of you starting to dig in a little more into some of the details of it. Again, I'll let Luis comment. I would just say from a broad, sort of high-level, again, you don't have the competitive dynamics necessarily in the international markets. That's not to say that, that won't happen over time, because I think it will, and obviously, some markets are more competitive than the others. I just want to make one comment before I throw it over to Luis, which is that the particular point around the 17% increase, if you assume constant foreign exchange, and if you assumed more normal inflation in Latin America, as we said earlier, that does include Cuprum. It also includes some investments that we're making in Asia. So we're in the process of building out a retirement platform in India, and we're also in the process of building up a more independent distribution platform in Hong Kong. And that is -- those are extra expenses, they're investments. There's no deferral allowed on those expenses. And so we're choosing to make those investments in Asia. The reality is that Latin America is a very sort of high-growth market today, and we're reaping the benefit of that. We're trying to execute a strategy over the long-term that allows us to invest in tomorrow, which is going to be Asia. So we want to have the same competitive platform in Asia in 3 years and 5 years and 7 years that we have today in Latin America. And the only way we're going to do that is we're going to have to invest in it, and we're going to have to build those platforms, because they don't really exist today in Asia. So we're sort of having to build them ground up. And you see some of the reflection of that in the Principal International results, and it's been going on and it will continue to go on at some level. So just recognize that there is this investment that has to go on. It will pay off in the long term, I think we've demonstrated through the growth of Principal International over the last 10 years. Luis and his team have done an outstanding job. They know how to manage these businesses. They know how to build these platforms, and it does lead to significant growth over time. So Luis...
John M. Nadel - Sterne Agee & Leach Inc., Research Division: I mean, Larry, sorry to interrupt. I mean, I like the idea of investing in tomorrow's growth markets for sure. I mean, maybe one thing you guys can do for us, and I know there's a disclosure overload potential here, but maybe one thing you can do for us is help us understand and break out what those investments are. So that we can sort of draw a better correlation or a better understanding of the earnings of your existing, sort of, maybe more mature-type business in -- within PI versus the AUM. Because I don't know, I mean, my conclusion, just looking at these numbers, is that you've got margin pressure somewhere, and I don't know where it is. But maybe that's the wrong conclusion. That's what I'm trying to get at.
Larry Donald Zimpleman: Yes, and my overly long response, John, was only to say that there is -- it's really investment that's going on here more than it is margin pressure. And again, that's not to say that there won't be margin pressure. But sort of when you look at this quarter, or if you look at last quarter or next quarter, it's more likely to be a question of investing in the business than it is a question of margin pressure.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: That's helpful. My only other question for you is this. So you're a couple of months into having closed on Cuprum, and it appears your expectations for the year 1, if you will, earnings contribution from Cuprum is up double-digit percentage from your initial guidance. I'm just wondering whether you can characterize that improvement as you were maybe overly conservative on your original outlook, or is there something more significant that changed in the business, because it certainly appears that you're run rating the 1-month contribution this quarter.
Larry Donald Zimpleman: Right, so I'll maybe have Terry or Luis comment. But again, I just want to emphasize that all of the operational elements of Cuprum continue to go exceptionally well. And I said in my remarks, again, the regulator does very detailed surveys of both investment performance and customer service, and Cuprum has historically shown up very, very well in those surveys. I'm not saying that we're going to be #1 every year, because that's -- you can't do that. But having said that, we were, in fact, #1 as far as investment performance and customer service. So operationally, it's going very, very well. And if we -- as our team down there continues to execute, it obviously does lead to improved performance over time. So with that, maybe I'll ask Terry or Luis to comment.
Terrance J. Lillis: Yes, John, this is Terry. As we talked about earlier, as we onboarded Cuprum, we took a hard look at the accounting of that as well as the other foreign jurisdictions, as I mentioned earlier in the prepared remarks, in the AFORE business in Mexico, as well as Cuprum in Chile. And as a result of that, I think some of our accounting -- excuse me, acquisition cost deferral rates, intangible, amortization periods, et cetera, change from those initial [indiscernible]...
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Got it. I'm sorry, I missed that. Okay, I missed that commentary.
Luis Valdez: John, this is Luis. Just to complement your question about our assumptions with Cuprum. We were not overly conservative, but we were pretty much more realistic. But in reality, Cuprum is performing pretty well in the very first quarter. We have some assumptions about certain chocks [ph] and lapses, and certainly, Cuprum is doing perfectly Well. It's having net customer cash flows positive since day 1, when we announced the closing last year in October. So all in all, the net customer cash flows, sales and their commercial activities is doing fairly well, and we're very pleased with Cuprum, and that is the results of the good numbers that we are getting in the very first quarter.
Operator: And Your last question comes from the line of Randy Binner with FBR Capital Markets.
Randy Binner - FBR Capital Markets & Co., Research Division: I kind of wanted to touch on [indiscernible] FSA and it's outflows and the higher withdrawals in the quarter. The margin commentary in the call is clearly positive, and so it's good to see that moving forward. But it seems to me that this is a higher-withdrawal number in FSA than we've seen in some time, and there was an explanation in your commentary that it had to do with some M&A among your clients, as well as pricing discipline. But I guess, aren't those 2 things really functions of a more competitive marketplace there? Just kind of wanted to drill down on that more, but to me, that sounds like a marketplace that's getting kind of increasingly competitive, with folks choosing to go with maybe a cheaper option or something else more competitive. So just hoping to kind of flush out how we can have confidence in that withdrawal number normalizing going through the rest of '13.
Larry Donald Zimpleman: Yes, this is Larry, Randy. Again, I'll have Dan comment. But I would say that the withdrawal number this time, there was -- again, we've been actually expecting this. To be honest, we'd retained these plans a little longer than we thought. If you look at the macro environment, you're starting to see more M&A activity happen. I'm not talking about related to Principal, I'm just talking about generally in the capital markets. You're starting to see more activity. And we've had a couple of sort of larger size plans, where those employers had been acquired by very large employers. I'm not going to name names, but that had happened maybe 6 months to 12 months to 18 months ago. And we knew that, eventually, we were going to lose these plans, because, again, our particular employer relationship had been acquired. So you have a sort of a pent-up demand, if you will. You have sort of a slightly larger than you would expect sort of withdrawal coming out as these employers transition to the newly acquired employer's plan. So again a little bit of pent-up demand. The sort of potential for higher withdrawals, that Dan was talking about earlier, is more reflective of the fact that we're trying to sort of maintain discipline in our renewal pricing. And so with that, maybe I'll kick it over to him.
Daniel J. Houston: Yes, just a couple of comments and I appreciate the question, Randy. You had nearly a 20% increase over beginning of year account balances of withdrawals. That's just based on the fact that these accounts were bigger. And that was really $0.5 billion, $500 million just attributable to that point. We had record retention in 2012. And again, I think, relative to the competitive market, we've written 1,900 new contracts in the last 12 months. 916 of those coming in the first quarter of 2013. So I don't think there's any question, we've got a very competitive offering out there in the marketplace, not only to retain business but to attract business. And I think our strong investment performance, our continued commitment to TRS are 2 of the big contributors to that success, which -- you made other comment about lower-cost options. We have lower-cost options. We have passive investment strategies on our platform. We have CITs, or collective investment trusts, on our platform, and we've got revised service arrangements. So if someone wants a lighter service model, we've got that available for our clients. So again, it's always been competitive, continues to be competitive, but again, between the pricing discipline on a go-forward basis on the in-force and attracting of new business, we feel quite comfortable with our withdrawals and our net cash flow at this point.
Randy Binner - FBR Capital Markets & Co., Research Division: Just one clarification. So you're saying that about $0.5 billion of the $6.2 billion of withdrawals was attributable to basically higher lumpiness from higher account balances, is that right?
Daniel J. Houston: That's correct. Yes, there up about 19% from a year ago. Yes, that's correct.
Operator: And we have reached the end of our Q&A. Mr. Zimpleman, your closing remarks please?
Larry Donald Zimpleman: Thanks, everybody, for joining us on the call today. As I said in my opening comments, we're very, very pleased with the momentum of the businesses, and we're going to remain focused on execution, sort of across the board, as we go forward in 2013. So again, thanks to everybody for being on the call today, and we look forward to seeing many of you on the road in the coming months. Have a great day.
Operator: Thank you for participating in today's conference call. This call will be available for replay beginning at approximately 8:00 p.m. Eastern Time until the end of May 3, 2013. 25954736 is the access code for the replay. The number to dial for the replay is (855) 859-2056, U.S. and Canadian callers, or (404) 537-3406 for international callers.